Operator: Hello and welcome to Vallourec Q1 2020Results. My name is Jose and I will be our coordinator for today's event. Please note that conference is being recorded. For the duration of your call, your lines will be on listen-only. However, you will an opportunity to ask questions at the end. [Operator Instructions] I will now hand you over to your host, Jean Marc Agabriel, Head of Investor Relations, to begin today's conference. Thank you
Jean Marc Agabriel: Good evening everyone. Thank you for joining us for our Vallourec's Q1 results presentation. I am Jean Marc Agabriel, Head of Investor Relations. With me today to comment these results, Edouard Guinotte, Chairman of the Management Board; Olivier Mallet, Member of the Management Board and Chief Financial Officer; Didier Hornet, Senior Vice President, Development and Innovation; Bertrand Frischmann, Senior Vice President, North America. This conference will be recorded and a replay will be available. The slides of the presentation are available for download. Before I hand over to Edouard Guinotte, I must warn you that today's conference call contains forward-looking statements and that future results may differ materially from statements and projections made on today's call. For your convenience, the forward-looking statements and risk factors that could affect those statements are referenced at the beginning of our presentation and are included in our annual registration document filed with the French Financial Market Regulator, the AMF. This presentation will be followed by a Q&A session. Now, I leave the floor to Edouard Buinotte.
Edouard Guinotte: Thank you, Jerome. Good evening everyone and thank you for joining us on this call. I hope everyone has been keeping well and safe. Last time, we spoke was only three months ago although it feels more like three years ago. Since then, as most other companies in our ecosystem, we are dealing with the impact of COVID-19 pandemic first on our operations and secondly, on our customers demand. Both as a company and as individuals we are living through really extraordinary times. I would like to take this opportunity to thank and commend our management teams and all our employees worldwide for the way they handheld themselves and confronted the situation. They showed the continued focus and results maintain their utmost professionalism and from corrective engagement, which is all very necessary to work through this crisis. Again, I thank them for it. Moving on to the highlights for this call. The points mentioned here will be detailed during the call, but I would like to emphasize a few. Our Q1 EBITDA margin was a 1.5 percentage point year-over-year at 8% of revenue, thanks to a stable €68 million EBITDA despite the 17% drop in revenue. Our working capital requirements did increase as it usually does this time of the year, and was also impacted by some operational disruptions linked with COVID-19, leading to a negative free cash flow in Q1. Strong adaptation plan are across the group possible to ensure the health and safety of our team while maintaining our service to customers. I'm happy to report that the number of cases in our company has been kept under control, and most importantly, we didn't suffer any deaths among our employees, which we are all very satisfied with. Secondly, we launched street capacities adjustments and cost control measures to protect margin and limit cash outflows. All-in-all for 2020, we target the food adaptation of avoidable costs including direct labor to the activity and on top of that €130 million of additional cost savings. We also adjusted our CapEx envelope by 20% while keeping the mine expansion project and plan to reduce our working capital requirements through the year. While our liquidity is strong at €1.8 billion, we work intensively to improve our balance sheets and we intend to pursue them with the capital increase of €800 million as soon as the operating environments stabilizes and market conditions allow us to do so. Looking at the remainder of the year, our business will be impacted by COVID-19 crisis and its consequences on our customer activity. It's very significantly in North America as well as on the industry segments. And these should be to a large extent, but not fully offset by the increase of offshore drilling in Brazil. Resilience iron ore prices for mine also in Brazil, and the delivery of our solid and long backlog of high alloy products in EA-MEA regions. After the long overview, I will turn it over to Olivier for deeper dives into our Q1 results.
Olivier Mallet: So, thank you, Edouard. Good evening everyone. So let’s start on Slide 7 with more details on our revenue evolution. Our revenue for the quarter was down 15% at same exchange rate. Starting with our largest segment oil and gas, revenue was there down 18% year-on-year. In EA-MEA, this decrease reflected with lower shipments, but just according in line with deliveries scheduled for some larger orders. On the other hand, the region had a better price/mix. In North America, the decrease was driven by lower volume due to onshore market slowdown that stops either early rupture as well as pressure on prices which continues in Q1. And in South America, the oil and gas revenue decrease with due to currency effect Petrochemical revenue was down 9%, mainly with volume of line pipes sold in the U.S. Industry and other were down 12% constant exchange rate. In Europe, it's reflecting mainly lower volumes. In South America as well for strictly industrial products, while the mining revenue was almost stable. And finally, Power Gen was on 6% and I remind you that we have decided to shut down our German plant in high service dedicated to these products and the closure will be effective in the second half of this year. On the next slide. First some more details on the revenue bridge showing you that volume effect was significant minus 21% and offset to some extent by some positive price/mix effect of 6% mainly reflecting a better price/mix in oil and gas for EA-MEA regions, which did more than offset lower prices in North America. Moving now to the EBITDA. As already said, it was stable at €68 million and the EBITDA margin was up 1.5 percentage points, up 8%. This covers, first, an industrial margin of €161 million, only slightly down compared to last year since the lower activity in oil and gas in North America was upset to quite a large extent by policies in the other business segments and once SG&A cost, where reduced by 3% year over year. On the next slide some quick comments on the relevant lines of the P&L below the EBITDA. First the operating result decreased by €10 million due to the restructuring provision of €21million related to our very large adaptation plan in North America. This is being partly offset by lower depreciation of industrial assets. Second important topic, the financial result showed a €26 million improvement compared to Q1 last year. This was due mainly to a positive settlement of very old legal dispute in Brazil. Income tax increased to some extent due to profit in Brazil. And finally, the group net result improved by €60 million year-over-year at minus €74 million. Let’s move now on Slide 10 to cash element starting with working capital. As you know, it’s marked by stronger euro seasonality so that networking capital requirement at the end of March reached 119 days, relatively close to the 117 days of Q1 '19 and better than any other number Q1 number of days of the years before. On Slide 11, summary of our free cash flow which was a negative on an €81 million compared to a negative €159 million in Q1 '19. The cash flow from operating activities at minus 51 was almost stable compared to last year. The seasonal increase in working capital by more than €19 was only a €6 million above the amount of last year, so same order of magnitude. And finally, the CapEx increased by €14 million as you can see it was at a quite low level of €17 in Q1 '19. And I will conclude with the net debt, which stood at €2,267 million at the end of March. The main driver of evolution of cost was free cash flow. You can notice relatively significant amount of €55 negative on the asset disposals and other items. The main part of it €45 million is ForEx impact on the net cash we have in Brazil and rest of it is €10 million per quarter payments under IFRS 16 leasing debt. And on this, I will give back the floor to Edouard.
Edouard Guinotte: Thank you, Olivier for this comprehensive yet synthetic overview. I will quickly share with you what we are confronted with on the oil and gas market. You will probably find this very very familiar and because we are not the only one confronted with similar topics. So, the oil industry is confronted to a massive demand collapse driven by COVID-19 pandemic. The drop in oil demand has been estimated at as high as minus 25% in Q2. And this demand collapse is unfortunately not offset by the announced cuts in supply beat by OPEC plus or by non-OPEC plus production reduction. So as a result, this has driven the price significantly down even temporary negative for the WTI data late last April, and this in turn leads and all oil and gas operators to look back at their CapEx plan and initiate a significant reduction. This is mostly marked in the U.S. where onshore operators are cutting CapEx by more than 50%in 2020. This is not so marked in the rest of the world where most of the international oil companies are announcing CapEx cuts between minus 20% to minus 25%. And it depends on the winning and losing regions, I would say. And this CapEx reduction is expected to be less when it comes to national oil companies in particular in the Middle East. Looking ahead, of course, a lot of analysts, very professional analysts are looking at when we could see a rebalance in the supply and demand of oil. And most recently, the International Energy Agency, in their latest scenario indicated that they were expected the demand impacts from COVID-19 to progressively phased out in H2, while at the same time the supply curve will remain in place for longer leading to a possible balance of supply and demand towards some time in H2 to allowing for progress even draw down on accumulated inventories. So, there is some hope around the balance or the rebalance of the oil supply and demand situation. This being said, we are taking decided measures to adapt to the immediate evolution of our customer demand. So, I will highlight and I have first of all I will remind everyone as we commented extensively back in February that we are leaner and much more competitive company, thanks to the community defect of our transformation plan. Despite this, we launched very significant and very quick adaptation measures. And on top of that, we do have in mind to benefit from some areas of resilience in our business portfolio. So, in terms of the history, I will just remind you that our cost base has been drastically reduced since 2016 minus 40% through the combination of capacities rationalization, accumulated savings almost €600 million since 2015 and the development of our new routes. You can see on the bottom right graph that the share of Brazil and China in our production is close to 50% when it was only 20% back in 2014. This being said, we launched strong adaptation measures, as you can see on the following slide. And so in North America, as we already commented, we launched the reduction of our workforce by more than one-third and more than 900 positions are being cuts, actually, it will be probably close to 1,000 position when it's all sudden done across all plans, but also impacting our support functions. This is being implemented as we speak, and will be completed for the most part for at the end of May. In the rest of the world, we work on the proceedings by adjusting and working hours to the activity in each country, which means we are relying extensively on the furlough or short-time work measures in Europe but also in Brazil. We are strengthening the expenditure control. And we are also -- we also implemented hiring freeze and travel bans. On top of that, we implemented a strong cash control measures by the reduction of the CapEx envelope by €40 million to €160 million, and the working capital requirements we reduce. Thanks to our action plan, reflecting the activity decline and the usual reverse seasonality effect towards the end of the year. The result of all these adaptation measures is expected to be the full adaptation of our liable costs, which I remind you include direct labor. And on top of the full adaptation of the variable costs, we plan to generate €130 million of additional growth in 2020. Last but not least, I will highlight a few areas of resilience in our business. First and foremost, Brazil, you can see on the graph the top right that is the expected number of wells, new wells to be drilled, offshore is expected to increase year-on-year, so the increase of course, unfortunately is not as high as we initially expected, reflecting the decrease in CapEx announced by Petrobras, for instance. But still year-on-year, we will benefit from almost 20% increase in the well count, which will be reflected by our deliveries, mostly in H2. And I will point out as well, that not only Petrobras is active in offshore Brazil, most of prominent IOCs are. They all confirm their plan because, again, offshore Brazil is set to be one of the most, the fastest growing area in the world. And we announced tonight that we were awarded, we extended our supply contract with Equinor, which marks the latest success in Brazil for our company. So on top of offshore Brazil, we benefit from the dampening effect, so the stabilizing effect of our mine, which I remind you is very well positioned in terms of cost based and efficiency. The volumes produced are stable year-on-year and the iron ore price is showing great resilience year-on-year. And as I mentioned, we see the extension project is maintained, which will result in an increase in production and therefore revenue as soon as later 2021 and the predominantly in 2022. Finally, in the EA-MEA, we benefit from a diverse customer base and strong NOC exposition, which will be more resilient than other operators in the low oil price environment. And we also benefit from a stronger community backlog for high alloy products, which will support our results in 2020. And finally, this is the area where our renewed competitiveness with the developments of our new wells with allowed us to secure the new loan activity we require. Moving onto the outlook for 2020. And if I go region-by-region; in EMEA, the oil and gas market will be mark by the reduce CapEx in most IOCs. NOCs will be more stable and resilient are delivering in coming quarters with benefit from our backlog in higher product. Conversely, on the industry market in Europe, we expect the rent to be strongly impacted by the COVID-19 crisis. In North America as you know the operators are drastically and very quickly getting rigs and getting their drilling plants following the massive drop in WTI prices. This has led to rig count as low as 374 last Friday, which is a more than 50% reduction compared with December 2019. And more noticeably it's below trust of 2016, which was reached in late-April 2016 at 404. We do expect a continuous reduction in rig counts, which will have a strong impact in our OCTG shipments over the year. In Brazil, as I said, we expect an increase in our deliveries following Petrobras activities. But on the industry segments, we do expect a strong reduction of deliveries as well as in Europe and the iron ore will play its usual stabilizing role. So if I recap our expectation in terms of adaptation measures again full adaptation of variable costs including direct labor and €115 million on top, CapEx envelope reduced by €40 million to €160 million and the reduction of working capital requirements. So to summarize, if I compare with Q1 2020 the following quarters should see a severe deterioration of our results in North America and on industry markets. We should be offsets to a good extent but not fully by increased activity in offshore Brazil and sustained iron ore prices and the deliveries of our order book of higher products in EA-MEA. Finally, I will conclude these opening statements, if you can… So, we are evolving in an unprecedented context and our concern remains to preserve the health and safety of our teams while maintaining several services to customers. Thanks to the successful execution of our transformation plans always is linear and a much more competitive companies in 2015, 2016 and we will benefit from the resilience of part of our business portfolio. Despite this, we very decidedly implement all necessary adaptation measures and we accelerate our cost savings and while our environment and our markets remain very volatile, the group intends to proceed with execution of our right issue, as soon as the operating environment offers improved visibility and when general market condition allow it. This concludes the short overview of our results today, and Olivier and I as well as Didier Hornet are open for Q&A session.
Operator: Thank you. [Operator Instructions] The first question comes from Alan Spence from Jefferies. Please go ahead.
Alan Spence: Hi, good evening. Thanks for taking my question, two from me. On the guidance on the consumption of free cash flow to be significantly reduced from Q1. Just want to make sure I'm understanding that right. Should we assume that free cash flow will remain negative? Or do you think there's a potential that is positive and Q2 and Q3? That is my first question.
Edouard Guinotte: Yes. So on this just to make sure everything is clear. So the free cash flow is significantly negative in Q1. Again reflecting expected seasonality and what we expect for the remainder of the year is to benefit from both the reserve seasonality effect which surely occur in Q4 and the release of working capital requirement, aligned with the level of activity. So, this combined with all the other margin protection measures and the expenditure control should lead our free cash flow on the following quarters, Q3 onwards to be productive, therefore reducing the negative free cash flow in Q1.
Alan Spence: Okay, that's very helpful. And on the rights issue, I know you don't want to give us direct time now. But is there a certain point in your leverage where you might say, look, we need to get this done right now, even if perhaps timing isn't the most ideal. Do you have the capacity of the willingness to wait until 2021 that was necessary?
Edouard Guinotte: So our plan and the way we look at this, together with our reference shareholders and other stakeholders is to be ready to launch the capital increase as soon as both our operating environment and market conditions allow, which we still hope can happen in 2020. So, we have no intention to wait until 2021.
Alan Spence: Okay. And one last quick one, if I may -- sorry. Can you perhaps quantify your expectations for the decline in shipments in Q2?
Olivier Mallet: So, on this, we typically don't leave guidance quarter by quarter. And we think more in terms of EBITDA than in terms of volumes of revenue. So that the overall comments that may not be that different from one quarter to another one is that if you take Q1, as a starting point as a reference point, over the next few quarters will have significant or very significant decline in revenue and EBITDA especially in North America, no big surprise there. There is huge drop in terms rig count and activity. There will be as well too much certain extent decline in result coming from what we sale for the industry, both in Europe and in Brazil, where are our main industrial markets. So this will be the big negative that will happen in Q2, Q3 and Q4. In front of that will have some pluses, the main plus coming from the local oil and gas market in Brazil, where, as shown by Edouard, the number of wells to be drilled by Petrobras and IUCs although being lower than what was planned initially before COVID crisis by the Petrobras and IUC will still show a significant increase compared to 2019. And you may remember as well is that our price in these markets has increased in the second part of 2019. So that will have a full year effect of this nice price increase. Then we'll have the support of the vase tall order book that we've booked in 2019 for aEA-MEA regions for stratum corneum high alloy products where the most part by fall of 2020 is booked with no other cancellations at all. And this very highly contributed deal will at least have set if not more the CapEx cuts in this part of the world. And finally there is this big Island of residence, which is our mining operation in Brazil. You know even if you may not have the exact figure, that it's extremely profitable. Our production in 2020 will be the same order of magnitude as in 2019. And as you can see every morning, on your computers so far, the international prices of iron ore are very resilient compared to last year. So it's a big chunk of profitability. That should unless if iron ore prices were suddenly drop should remain very steady compared to last year. So these in Brazil and in particular from Brazil will not completely offset the decline due to North America and industry compared to this reference point of Q1, but it will offset it to a good extent.
Operator: The next question comes from Kevin Roger from Kepler Cheuvreux. Please go ahead.
Kevin Roger: First one will be related to as a follow-up regarding the EBITDA. Based on the answer that you address main, can you understand basically that Q2, Q3, Q4 EBITDA will be lower than the one that you reached in Q1 that one will be the maximum EBITDA of the year because you say that the places will not entirely offset the minus that will face? And the second question is regarding let’s say, the relations with the bank, because today you have 1.6 billion of cash, but this is basically entirely linked to the credit link because you are more than 2 billion of short term debt. So was wondering, if you can comment the relationship with the bank that before the COVID-19 situation in crisis give the support to the capital increase, What have been the discussion with the bank over the past weeks, please?
Edouard Guinotte: So, thank you Kevin. So on your first question regarding EBITDA, I would say that generally you understand is correct. Indeed, we think EBITDA for next quarter will be lower than Q1, but what we also pointing out, it's not -- you shouldn't expect a complete collapse. There will be some impact and part of it will be -- a good part of it will really fit by supporting factors, which Olivier detailed. With regards to relationship with banks, I would qualify them as very close as you remember, they agreed to extent top of our credit line beyond the 2021, along with the capital increase, and their general position is to share our conviction that the best way for value like to improve our balance sheet is to successfully launch the capital increase again, as soon as the market conditions allow. So, we work very closely with them to monitor when the best timing to do so. Olivier, you want to complete more?
Olivier Mallet: No.
Operator: The next question comes from Amy Wong from UBS. Please go ahead.
Amy Wong: A couple of questions for me, please. The first one relates to your comment on a, couple other comments on the EA and EA markets. You mentioned that you have a long backlog of high alloy products to be an ever booked in '19. Can you give some sense of when the timing of those deliveries of how long they stretched out for? And somewhat related question about same market, EA-MEA, you say that the NOC should maintain most of their tendering activities given we are a couple months into the oil price collapse. Now, can you give us some color on those conversations with your clients? What's happening with the rate of tenders being issued? And how much of those are converting into actual orders?
Edouard Guinotte: Thank you, Amy. So maybe on the order books, I would say generally spread over the next quarters. I mean, it's not just straight to one-third, one-third, one-third, but it's generally spread around the next quarters. So you will see impact in other quarters. With regards to the activity in the Middle East in particular, so, yes as we expect, most of the NOCs there, it's more resilient to low oil prices, and we see tendering activity being quite sustained, and I would cite predominantly Saudi Arabia, whereby their purchasing activity has been quite limited in 2019. So, now as we expected in 2020, they need to resume sustained processing activity, which we definitely hope to take part of -- take part in relying on our local operations in Dammam. I would also cite Kuwait, which there again has recently released some tenders as expected. Now this timing of the deliveries maybe spread over a longer period of time, but in general as, generally the case and as was the case in '15, '16, the operations of national oil companies, particularly in the Middle East, is more resilient than elsewhere to low oil prices.
Amy Wong: And, Okay, thanks for that. And just on your rights issue, Question there. I understand that you have agreements with banks and also some cornerstone investors. Is there any time requirement on those agreements?
Olivier Mallet: So as far as our core investors, so Nippon Steel and BPI are concerned, yes, there is a time, but we are in permanent dialogue with them. We are speaking again with Nippon Steel this morning, Edouard and I, and they fully support definitely the right issue because they fully understand that it is in the best interest in the shoulder to have this right issue in place. As far as the bank is concerned -- are concerned, the key there and what we're doing with them, is to consult to monitor via market situation. And I mean by that both the general equity market condition, which has been relatively shaky during the last few months, and as well as the oil and gas market environment, because we believe that we need some more stability and visibility to be capable of issuing the right issue in good conditions. So together with them and we are absolutely in the same boat there, we are monitoring constantly the market in order to be ready or to ship as soon as market conditions allow for it.
Amy Wong: So with the sandbag and then with the banks, there's no date kind backstopping the with the bank?
Olivier Mallet: It's more than anything else what matters is market conditions. You know, it's our core bank. It's the banks who lend us. So, we are definitely aligned with one single objective for all of us, which is to execute right issue but for that we have to make sure as well that the market is stabilized enough to allow for it.
Operator: The next question comes from Sahar Islam from Goldman Sachs. Please go ahead.
Sahar Islam: My first one was on pricing in the international market, particularly Brazil and Middle East, if you're seeing any pricing pressure there because there've been some comments from other suppliers that they are renegotiating part of their servicing? And then secondly, on the balance sheet, is there a scenario where you would look at disposals of assets like the forestry asset, which I guess in this ESG world is probably more valuable and possibly easier to sell than it was a couple of years ago?
Edouard Guinotte: So, first of all on pricing, let's just say we received some moderate requests from some customers for price decreases that very quickly. We made them realize that their supply base as a whole didn't capture in any shape of form, the type of margins and prices, we enjoyed back in 2014. And so therefore, the message to our customers, to our commercial team is that we have absolutely no flexibility towards prices and we get ready for lower activity by adapting workforce and capacity. But that we won't entertain pricing adjustments in the case of Petrobras, very specifically, the contract includes price revisions formulas, which at the end of 2019 have led to a price increase instead of decrease, which we benefit from this year. So, all-in-all, yes, we receive some pressures, but we clearly explained that there was no room for this kind of flexibility. With regards to asset disposals, so the question revolves or has revolved around the mine and the forest. And when comes to the mine, you understood that we definitely took the decision not to sell it. And to the contrary, fully benefit from it and double down on it by investing to expand it. And when it comes to the forest, this is something we constantly test. But so far, the value we receive from the potential acquirers doesn't reflect what we believe is the intrinsic value of the forest. And as you very rightly pointed out, we expect that in the years to come, due to increased pressure to improve ESG ratings, the value of this forest in Brazil will most likely increase. And so, therefore -- although we test the markets, so far, we haven't found a satisfying value for these assets.
Operator: The next question comes from Jean-Francois Granjon from ODDO. Please go ahead.
Jean-Francois Granjon: Yes, good evening. I just have three questions please. The first one, concerning the impairment and the tests, do you expect some write-offs for the next quarter or do you make some impairment test at that time? The second question regarding the EBITDA. So I understand that we should have for the next quarters some labor level compared to Q1. Is it reasonable to expect negative EBITDA in Q2 and Q3? And the last question regarding the right issue, due to the context, do you consider that high hedge €800 previously expected is not sufficient and probably you need to have a higher level for the right issue?
Edouard Guinotte: Yes, so I will answer on the EBITDA. So again, we -- I repeat what we said. What you need to do is take Q1 as a reference point. To this Q1, there will be some negative factors which we highlighted, which will be offset to a large extent by some supporting and positive factors. So, the result of this, as I alluded to with Kevin, I believe, is that we anticipate lower EBITDA in coming quarters, but not the collapse in EBITDA in the coming quarters. So, the other more financial questions I would ask Olivier to answer.
Olivier Mallet: Yes on the impairment, Jean Francois, when you do that, you need some visibility on your long-term business plan scenarios, which is quite difficult to have at the time being. I mentioned to that we had some margin, some headwind on our major cash generating units at the end of last year. So we concluded that for Q1, it was not relevant question. As far as €800 million and whether it's enough. I would just like to remind you that when we announced the capital increase fees and associated new RCF. On a pro forma basis, at the end of 2019, it was providing us with very large liquidity of between €1.6 billion and €1.7 billion. So that even if we will still have to assess precise impact and duration of the oil crisis, this amount of liquidity is giving some headroom and to some extent was calibrated taking into account cyclicality associated with our oil industry exposure.
Operator: Next question comes from Jean-Luc Romain from CIC Market Solutions. Please go ahead.
Jean-Luc Romain: You mentioned the strict price and production discipline on your part. Do you expect all of your main competitors to behave the same? Or could we have some lack of discipline in some cases?
Edouard Guinotte: Well, as you know, we don't talk to them. We refrain from speculating, but we do have some clear evidence that the mindset is quite similar to ours. You only need to see the amount of layoffs, capacity idling, not to say capacity closing closures in the U.S., which were announced by our competitors. I need to name a few U.S. Steel announced that they would be idling their two significant mills. Lone Star, which produces ERW pipe and, Lorain, which is involved in the seamless pipe production; if you look at Tenaris, they quickly communicated towards the stoppage or closure of most of their newly acquired plants and even on the production reduction as they are brand-new Bay City mill. And finally, I believe Evraz announced the closure of their Rocky Mountain Steel Plant in Colorado. So all in all, when you compile all the announced capacity closure or reduction, you come very quickly to the realization that the open capacity in the U.S. has been or will be quickly reduced by more than 50% which means that as an industry, we seem to all agree and converse, that there is very little point in fighting for volumes, which simply do not exist. And we are far better off maintaining a strict as strict as possible price discipline on the market. You can also look at the rest of the world where our competitor in Austria has communicated on the 25% capacity reduction I believe. Some of the other European suppliers as either say some disruption linked to the coronavirus are also announced relying on short time work or capacity. So all-in-all, and even though I cannot fully consider, I know what the competitors are going to do. It does seem that everyone is considering that the best way forward is to adjust capacity to the demand rather than enter in a losing game, trying to lower prices to chase volumes, which are simply not there.
Operator: [Operator Instructions] Okay, it seems we have no further questions.
Edouard Guinotte: On this, I will thank you all for your numerous attendance.
Operator: Sorry, we have a couple of questions coming through. The next question comes from Alan Spence.
Alan Spence: Just one really quick question for me. Just you mentioned the stability in the iron ore price and being able to see that in the screen each morning. Do you actually sell it based off of CFR China? I would imagine that to be more of an FOB Brazil price for iron ore? And with all we read about freight rates growing up. Are you seeing perhaps more pressure in the local price you sell on, rather than kind of a well published CFR China?
Edouard Guinotte: Alan, you're right. We are using the international indexes like Platts as a reference, but our contracts are, indeed FOB Brazil. But they are very tightly linked to the evolution of Platts. And I don't think we experienced significant pressure on freight prices.
Alan Spence: Moving into Q2, rather in Q1, basically seen the impact of that?
Olivier Mallet: The way -- so, we have different contracts with different customers, but I don't see that we just follow directly the freight cost evolution. So, that's every indication we have does converge to a very good stability the results of our mine 2020, if Platts Index were to stay at or even slightly below where it is as of yesterday night.
Operator: The next question comes from Kevin Roger.
Kevin Roger: Just one follow-up, please, regarding the financial charges. Can you explain us the decline that we see this quarter in the financial charges in the P&L that are close to 30 million this year versus the 60 million of other past quarters, please?
Olivier Mallet: Kevin, I think I mentioned that, but probably I was too fast, when I was going through the slides. It's due to the fact that we have good news in Brazil to benefit from a positive settlement or judicial settlement of a very, very old, more than 10 years older local litigation. This result in cash and recognition a discussion on the financial income of €26 million that were provided to us by a local Company called Eletrobras.
Operator: The next question comes -- I'm sorry, showing no further question. I will hand you back to your host to conclude today's conference.
Edouard Guinotte: So, we said I thank you all for your attendance, and wish you a very pleasant and safe evening. Thank you. Take care.
Operator: Thank you for joining today's call. You may now disconnect.